Operator: Thank you for standing by, and welcome to the Garmin Ltd. Second Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to withdraw your question, again, press 1. Thank you. I'd now like to turn the call over to Teri Seck, director of investor relations. You may begin.
Teri Seck: Good morning. We would like to welcome you to Garmin Ltd. Second Quarter 2025 Earnings Call. Please note that the earnings press release and related slides are available at Garmin's Investor site on the Internet at www.garmin.com/doc. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Ltd. and its business. Any statements regarding our future financial position, revenues, segment growth rates, earnings, gross margins, operating margins, future dividends or share repurchases, market shares, product introductions, foreign currency, tariff impacts, future demand for our products and plans and objectives are forward-looking statements. Forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-Q and in our Form 10-Ks filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Ltd. this morning are Cliff Pemble, president and chief executive officer, and Doug Boessen, chief financial officer and treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Cliff Pemble: Thank you, Teri, and good morning, everyone. As announced earlier today, Garmin Ltd. delivered another quarter of outstanding financial results, with strong growth in consolidated revenue, operating profit, and earnings. Consolidated revenue increased 20%, exceeding $1.8 billion, which is a new second quarter record, and we experienced double-digit sales growth in every business segment. Gross and operating margins expanded to 58% and 26%, respectively, resulting in record second quarter operating income of $472 million, up 38% year over year, and pro forma EPS of $2.17, up 37% year over year. Yesterday, we announced the acquisition of MyLabs, a global market leader in timing and performance analysis for athletic, motorsports, and equestrian competition. MyLabs supports an impressive customer base, including the Boston Marathon, Ironman, and Formula One racing, to name just a few. We believe that the combination of Garmin devices with MyLabs' timing and race management technology will provide a comprehensive experience for our passionate customers from training to race day, while also expanding our addressable market. We are very excited to welcome the MyLabs team to Garmin Ltd. and look forward to all that we can accomplish together. We are very pleased with our results so far in 2025, which have exceeded our expectations. From our vantage point, consumers have been resilient, and demand for our highly differentiated products has been robust. Given our strong performance, we are updating our full-year guidance. We now anticipate revenue of approximately $7.1 billion and pro forma EPS of $8 per share. Doug will discuss our financial results and outlook in greater detail in a few minutes. But first, I'll provide a few remarks on the performance of each business segment. Starting with fitness, revenue increased 41% to $605 million, with growth led by strong demand for advanced wearables. Gross and operating margins expanded to 60% and 33%, respectively, resulting in operating income of $198 million. During the quarter, we launched the Forerunner 570 and Forerunner 970 with new training features and personalized training plans from Garmin Coach for running and triathlons. These new devices have been enthusiastically embraced by the market and helped drive the remarkable second quarter financial performance of the segment. We also launched the new Venu X1, an ultrathin case and class-leading two-inch display resulting in a sleek, lightweight design that is easy to read and packed with our most popular features. Also during the quarter, we launched several new category-defining products, including the Index Sleep Monitor, the Tacx Alpine Gradient Simulator, and the VariaView Bike Headlight with an integrated 4K camera. Given the first half performance of the fitness segment and the continued demand we are expecting for our advanced wearables, we are raising our revenue growth estimate to 25% for the year. Moving to outdoor, revenue increased 11% to $490 million, with growth driven primarily by adventure watches. Gross and operating margins expanded to 66% and 32%, respectively, resulting in operating income of $158 million. During the quarter, we launched the Instinct 3 Edition with a bright AMOLED display, a metal-reinforced bezel, a built-in LED flashlight, and support for popular new activities such as rucking. Also during the quarter, we launched new Tread all-terrain navigators that offer larger touch screens and additional mapping options to enrich off-road adventures. We are pleased with the performance of the outdoor segment so far this year. Looking forward, we expect growth to moderate as we pass the one-year anniversary. With this in mind, we are maintaining our revenue growth estimate of 10% for the year. Looking next at aviation, revenue increased 14% in the second quarter to $249 million, with growth contributions from both OEM and aftermarket product categories. Gross and operating margins expanded to 74% and 25%, respectively, resulting in operating income of $63 million. During the quarter, Embraer recognized Garmin Ltd. as the top supplier in the electrical and electronic systems category for the tenth consecutive year, validating the long-term investments we have made in creating innovative products and building strong relationships with our customers. We're also preparing for the future with game-changing new products and features such as the recently announced G5000 Prime integrated flight deck for Part 25 aircraft and the addition of FAA Datacom to the GTN 750Xi Navigator, which expands the availability of modern digital communications to the aftermarket. We also launched SmartCharts, which has the potential to be one of the most disruptive new products for aviation in quite some time. Using SmartCharts, pilots can see their position on context-specific georeferenced charts, making instrument approaches much more intuitive and easier to fly. Also during the quarter, we announced that Garmin Autoland was certified for the Cirrus SRG7+ series, becoming the first piston-powered aircraft equipped with this award-winning safety system. Given the first half performance of the aviation segment, we are raising our revenue growth estimate to 7% for the year. Turning to the marine segment, revenue increased 10% to $299 million, with growth across multiple categories led primarily by chartplotters. Gross and operating margins were 55% and 21%, respectively, resulting in operating income of $63 million. During the quarter, we launched the GPSMAP 15x3 chartplotters, with an ultra-wide display that offers as much display area as two separate nine-inch chartplotters, making information easier to read while maximizing the use of space in the instrument panel. Also during the quarter, we launched the Quatix 8, our most advanced purpose-built smartwatch for mariners. The marine market has easily surpassed our lowered expectations, demonstrating resilience and stability in an otherwise dynamic macroeconomic environment. Given our first half performance and the current trends in the market, we are raising our revenue growth estimate to 5% for the year. And moving finally to the auto OEM segment, revenue increased 16% to $170 million, with growth driven primarily by increased shipments of domain controllers to BMW. Gross margin was 17%, and the operating loss narrowed from the prior year to $10 million. We recently shipped our one millionth BMW domain controller from our US manufacturing facility, demonstrating our capability as a respected tier-one supplier to the North American automotive market. We also continue to make progress on the launch of our next significant auto OEM program, the 2026. Given the first half performance of the auto OEM segment, we are raising our revenue growth estimate to 10% for the year. That concludes my remarks. Next, Doug will walk you through additional details on our financial results. Doug?
Doug Boessen: Thanks, Cliff. Good morning, everyone. I'd begin by reviewing our second quarter financial results. Provide comments on the balance sheet, cash flow statement, taxes, and updated guidance. We posted revenue of $1.815 billion for the second quarter, representing a 20% increase year over year. Gross margin was 58.8%, a 150 basis point increase from the prior quarter. The increase was primarily due to product mix. During the quarter, the cost impact from tariffs was not significant. It was more than offset by higher revenue associated with the weakness of the US dollar relative to other major currencies. Operating expense as a percentage of sales was 32.8%, a 180 basis point decrease. Operating income was $472 million, a 38% increase. Operating margin was 26%, a 330 basis point increase from the prior year quarter. Our GAAP EPS was $2.00. Pro forma EPS was $2.17. Next, we'll look at second quarter revenue by segment and geography. In the second quarter, we achieved double-digit growth in all five of our segments, led by the fitness segment with outstanding growth of 41%. By geography, we achieved double-digit growth in all three of our regions, led by 25% growth in EMEA, followed by 19% growth in the Americas, and 16% growth in APAC. Looking next at operating expenses, second quarter operating expense increased by $74 million or 14%. Research and development increased approximately $34 million, SG&A increased approximately $40 million compared to the prior year quarter. Both increases were primarily due to personnel-related expenses. A few highlights on the balance sheet, cash flow statement, and taxes. We ended the quarter with cash and marketable securities of approximately $3.9 billion. Accounts receivable increased both year over year and sequentially to approximately $1 billion following the seasonally strong sales in the second quarter. Inventory increased year over year and sequentially to approximately $1.8 billion. We are executing our strategy to increase inventory of certain product lines to support strong customer demand, as well as mitigate the effects of potential increases in tariffs. During the second quarter of 2025, we generated free cash flow of $127 million, a $91 million decrease from the prior year quarter, primarily due to an increase in inventory. Capital expenditures for 2025 were approximately $46 million, approximately $9 million higher than the prior year quarter. We expect full-year 2025 free cash flow to be approximately $1.2 billion with capital expenditures of approximately $350 million. During 2025, we paid dividends of approximately $173 million and purchased $67 million of company stock. At quarter-end, we had approximately $143 million remaining in the share purchase program, which is authorized through December 2026. We reported an effective tax rate of 16.5% compared to 17.9% in the prior year quarter. The increase in the effective tax rate is primarily due to the release of tax reserves. Turning next to our full-year guidance, we estimate revenue of approximately $7.1 billion compared to our previous guidance of $6.85 billion. We expect gross margin to be approximately 58.5%, consistent with our previous guidance. We expect the impact from tariffs to be lower than we previously estimated. However, this favorable impact will be offset by unfavorable foreign currency impacts of the Taiwan dollar. We expect our operating margin to be approximately 24.8%, consistent with our previous guidance. Also, we expect a pro forma effective tax rate of 17.5% compared to our previous guidance of 16.5%, which incorporates the impact from the new US tax bill. We expect the new tax bill to result in a decrease in US tax deductions to credits in 2025, primarily due to changes in capitalization requirements of certain R&D costs. Expected pro forma earnings per share is approximately $8, up from our previous guidance of $7.80. That concludes our formal remarks. Rob, can you please open the line for Q&A?
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. Your first question comes from the line of Joseph Cardoso from JPMorgan. Your line is open.
Joseph Cardoso: Hey, thank you and good morning everyone. Maybe just for my first question, obviously, you had another strong fitness performance this quarter. I'm trying to get a sense of the outperformance though, particularly as it relates to any potential influences from channel fill. You obviously talked about a lot of new products in the quarter. And then potentially any pull forward that you might have visibility into and whether that is having any impact on the back half outlook? And then I have a quick follow-up. Thank you.
Cliff Pemble: Good morning, Joe. In terms of channel fill, there's always some channel fill impact when a new product comes out. But we have a broad product line, so it was not a significant factor in driving outperformance. And in terms of pulling forward of demand, we really don't see any of that happening. Retailers aren't willing to take big bets on inventory. And they also have credit limits that are in place that prevent them from exceeding limits that we set. So we feel like the channel is well managed. We also track the registration of our products, and we can compare our sell-in versus sell-out, and we really don't see any signs of stockpiling.
Joseph Cardoso: Got it. No. Appreciate the color there, Cliff. And then maybe for the second question, just relative to the full-year outlook, the implied second half growth for revenue and gross profit is roughly in the 10% range plus or minus, depending on revenue or gross profit you're looking at there. But you're guiding operating profit dollars to be flat. Can you maybe just flesh that out a bit, what are the drivers that's kind of leading to this like, a little bit atypical leverage that we're used to seeing from Garmin Ltd.? And then just maybe to back on to that question, can you guys size what you're now embedding for tariffs and then FX relative to the full-year guide? Thank you.
Doug Boessen: Sure. So I'll give you a little bit of background on the operating expense assumptions. And these are for the full year as a percentage of sales. Now we are expecting that to increase about 30 basis points, maybe about 10 basis points in R&D and 20 basis points in SG&A. And that R&D increase is primarily due to headcount increases as well as normal merit. That's primarily, you know, to develop new features, innovation, and new products. Then as it relates to SG&A, that's going up primarily to build in the infrastructure for that growth. A few additional items are driving operating expense, primarily in the back half here, one of which is foreign currency impacts. We talked about the foreign currency impacts on the top-line revenue, but also there will be increases in expenses due to those foreign currency impacts. Also, you know, we recently announced the acquisition of MyLabs. So we'll have the additional expenses relating to MyLabs in the back half. And also, you know, given our strong performance, we have increased performance-based compensation in there. Another one due to the increased revenue is due to co-op advertising that we do have. You know, as it relates to tariffs, we're currently assuming basically the current rates that are effective for that. Our tariff estimate is lower now today than it was in April, primarily because of changes in some of those tariffs as well as not having a tariff on wearables. From that standpoint. And that's really offset, you know, on the gross margin line item by unfavorable impact on our gross margin due to the strength in the Taiwan dollar, which will increase our product costs that we have. In that standpoint. And then as it relates to FX overall, you know, the FX has moved since the start of the year. So right now, we're expecting FX on a top-line revenue to be a favorable item as it was here in Q2 for us.
Joseph Cardoso: Nope. Very clear, Doug. Thank you for all that color there. Really appreciate it.
Operator: Absolutely. Your next question comes from the line of Erik Woodring from Morgan Stanley. Your line is open.
Erik Woodring: Great. Thanks so much for taking my question, guys. I have two. Maybe, Cliff, I'll start with you and just taking a very big step back. Looking at your growth CAGR over the last ten years, revenue growth has been in and around 7% to 8%. EPS has been, call it, 11% or 12%. Clear leverage in the model. You know, what's interesting about this year is that, you know, both last year and this year, you're clearly outperforming that growth rate. But there is some deleverage in the model, which you just kind of explained. But I guess my big picture question is, do you believe that Garmin Ltd. is entering kind of this new higher revenue growth paradigm, especially as auto OEM is not the headwind that it once was, but in fact, a tailwind to growth? Can you maybe just unpack how you're thinking about Garmin Ltd.'s growth algorithm relative to history? And if there is kind of a true structural change in that growth rate today relative to history? And then a quick follow-up, please. Thanks.
Cliff Pemble: Yeah. I think, you know, we've made a lot of progress and evolution in our company over the past ten years. In the past ten years, the wearable market has emerged and blossomed. And while we're a smaller market share player, we're gaining share and the market is relatively stable. So that's been a really good opportunity for us. We entered that market because we believed that we had something to offer there, and we have high levels of innovation and differentiation in our product lines that we believe would drive growth. We continue to see that as an opportunity. All over the company and in our segments, we see opportunities in every one of them. And so, consequently, we're simply running as fast as we can towards those opportunities, especially when it involves creating unique products that either our competitors aren't interested in or haven't thought of. And we try to be a class leader when it comes to both existing product categories and creating new product categories. So, you know, we're excited and optimistic about the future. We believe that there's more work to be done. And we'll continue investing and working hard to achieve it.
Erik Woodring: Okay. Alright. No. That's super helpful. Maybe as a follow-up, you know, because we've seen Garmin Ltd. make some relatively significant price hikes across a number of different kind of smart wearable products over the last, let's call it year, year plus. What have you learned about the elasticity of demand of your customer base? And how does that inform your or Garmin Ltd.'s ability to maybe take more price in the future? How should we think about the relative pricing power of the consumer wearables business, please? Thank you.
Cliff Pemble: Well, I probably take exception to significant price hikes in the past year. What we've done is we've introduced new product lines with new features that can command a higher price point because they do more for the customer. So we aren't necessarily, you know, moving prices on existing categories, products, and existing SKUs. We're doing innovation. We're unique products, innovation is something that customers always love. And we've been successful in doing that. In terms of elasticity, you know, I think when we introduce a product at the higher end, our strategy is to continue to push and promote the products that it overlaps with and ultimately replaces. So we have a one-two strategy where we can promote products that have been in the market a while and play on the value side while at the same time offering new products with innovation and at higher price points.
Erik Woodring: Okay. Super. And then maybe, Doug, just one clarification question, which just confirming that within the calendar 2025 guide, both overall and at the segment level, the acquisition that you announced over MyLabs is fully included in that guide. That would not be incremental. Just wanted to get that one clarification.
Doug Boessen: Yeah. MyLabs is actually factored into guidance from the top line as well as the expenses.
Erik Woodring: Correct.
Doug Boessen: Okay. Super. Thanks so much, guys. I appreciate it.
Operator: Thank you. Your next question comes from the line of Jordan Lyonnais from Bank of America. Your line is open.
Jordan Lyonnais: Hey, good morning. Thank you for taking the question. Could you guys talk a little bit more about MyLabs? What you're seeing the opportunity is? Where you're expecting synergies just across the segments?
Cliff Pemble: Yeah. MyLabs is a company that specializes in timing of competitive events, whether they're running events, triathlons, auto racing, or even horse racing. And so, you know, their equipment and their services are very critical, especially to some of those high visibility events that are out there. Market interest and our interest in terms of particularly the running and triathlon, cycling, racing, events. Today, users of Garmin Ltd. devices use them for training. And then when they go to race day, they use our devices, but the official timing is somewhat separate and disconnected from the devices that they're using during the race. So we see an opportunity to merge the experiences from the training that takes place leading up to an event through the actual participation in the event itself, and we can do it in a dynamic and integrated way because we now have access to both the on-risk information as well as the official timing information.
Jordan Lyonnais: Got it. Thank you so much.
Operator: Your next question comes from the line of Ivan Feinseth from Tigris Financial Partners. Your line is open.
Ivan Feinseth: Hi. Thanks for taking my question, and congratulations on another great quarter. I have two questions. Recently, health secretary RFK has been, you know, very outspoken talking about his vision for smart wearables as an integral part of helping people manage their health. And what are your thoughts? And you know, the opportunities you see for Garmin Ltd. because we have a diverse line of wearables with a lot of proprietary measurements as well as, you know, the add the connect app and the Garmin Health platform.
Cliff Pemble: Well, our thoughts are one of excitement. You know, we have always believed in the utility of wearable devices to help people observe and manage their health. You can't change what you can't measure, so wearables play an integral part of that. And we're really excited about the fact that we have a very diverse product line, so there's not one size fits all for every customer. Instead, we offer a range of things that appeal to somebody's lifestyle and their goals. So I think it presents a significant opportunity for us. And, of course, we're at the forefront in terms of sensor measurements and creating health metrics for people that are useful and actionable, and so we believe there's a lot of opportunity going forward.
Ivan Feinseth: Thanks. My second question is, you know, the next big thing in smart wearables is glasses that a lot of people believe they will be as ubiquitous as cell phones and watches. And what do you see as your opportunity in there, especially for a lot of the ones that are on the market right now don't have screens in the display that is being talked about coming to integrate your data from your watch into that for, let's say, when you're running. And, also, a while back, you did make a device that clipped onto glasses kind of created a heads-up display into a pair of glasses. So what are your thoughts on opportunities in that area?
Cliff Pemble: Well, I think it remains to be seen. You know, glasses have come and gone once, and the utility and the concerns around the use of those in public have always come up in the context. So I'd say it's a wait-and-see thing. I think people want choices when it comes to things they wear, including watches and glasses. And so there may be some special use cases for those, but in general, we believe that the utility of a wearable is still very strong.
Ivan Feinseth: Alright. Thanks, and congratulations again.
Cliff Pemble: Thank you.
Operator: Your next question comes from the line of Tim Long from Barclays. Your line is open.
Tim Long: Thank you. Two also, if I could. First, maybe if you could touch a little bit on the fitness category. Any color you have on the strength there, how it's looking from kind of repeat users or new install base for Garmin Ltd., if you have any color there. And then secondly, if you could just dig into Europe as you highlighted pretty strong growth there. It's been several quarters of outperformance. Maybe dig into what's driving that and how sustainable that growth can be there. Thank you.
Cliff Pemble: Okay. Yeah. In terms of fitness categories, all the categories were strong. I would say that advanced wearables, as we mentioned in our comments, was the biggest driver. And we did call out running, specifically Forerunner 570 and 970, although running was not really the only driver, we saw strength across all of our products, including what we call our advanced wearables, which is our Venu and Vivoactive Line. So those were very, very strong. In terms of repeat users versus new users, we're seeing stronger growth in the new user category, so new people coming to Garmin Ltd. for the first time, and so we're excited by that. It means that people are recognizing that we offer something different and are coming to us for a solution. In terms of Europe performance, I think if you normalize for FX, you'd probably see that Europe was pretty much in line with the other geographies. So I think FX had part of the responsibility for the outperformance in Europe.
Tim Long: Okay. Thank you.
Cliff Pemble: Thank you.
Operator: Your next question comes from the line of David MacGregor from Longbow Research. Your line is open.
Joe Nolan: Hey. Good morning. This is Joe Nolan on for David. The marine market remains relatively soft, but you guys continue to deliver growth there. Can you just talk about some of the factors driving that growth and just what's giving you confidence in raising the guide there?
Cliff Pemble: I think growth in marine, you know, for sure, the market has been a little bit towards the downside. We feel like it's been stabilizing. It has faced, you know, a lot more uncertainty as people try to process, especially boat builders, the issues of tariffs that affect them as well as consumer sentiment. But in general, we've seen stable demand for our products, and especially where we're providing products with unique innovation and differentiation, we're seeing people come to Garmin Ltd. and taking share in those categories as well.
Joe Nolan: Got it. Okay.
Cliff Pemble: Well, as I said, we're making good progress on that. We're in the process of validating our production lines globally to be able to support the new device and the new design and to prove that we can run at scale and deliver the quality. So it's a very involved process working with the carmaker and quite a few test runs, pilot runs, evaluations, and feedback that goes into making sure we're ready towards the 2026.
Joe Nolan: Got it. Thanks. I'll pass it on.
Operator: Your next question comes from the line of Ben Bollin from Cleveland Research. Your line is open.
Ben Bollin: Good morning, everyone. Thanks for taking the question. Chris, I was hoping we could start. Could you talk a little bit about how you're thinking about subscription momentum, the materiality, the progress, and what's the right way for us to assess your progress? Is it as simple as looking at the deferred? Is there something else you think we should look at? Curious your thoughts there. Then I have a follow-up for Doug.
Cliff Pemble: Yeah. I think subscriptions are a growing part of our business. We, of course, haven't triggered the 10% threshold to disclose that yet. So we aren't providing specifics on it, but I would tell you that in every segment, we're looking for opportunities to build subscription and service revenues. Outdoor has been a big driver of that with our inReach system. Fitness has been increasing a lot, both with our kids' Bounce wearable as well as Garmin Connect Plus. And then aviation is another one where we offer subscription services for content for the cockpit that is in growth mode. So we're growing across the whole business, and, of course, we're driving towards as much as we can grow there. But until it triggers that 10%, we won't disclose it.
Ben Bollin: Okay. Doug, just thoughts on working capital management. Both in 2Q and the balance of the year. Receivables and inventory up. Decent amount year over year in sequential. Talked a little bit about the trend there. What do you see? How's it going to plan? And any thoughts for the balance of the year? That's it for me. Thank you.
Doug Boessen: Yeah. You know, as it relates to our working capital, it's really going as planned. You know, as it relates to inventory, our strategy is to have inventory for our increased customer demand, but also we've increased inventory to mitigate potential increases in tariffs. You know, there's currently no tariff on wearables and any potential increase in that. So that was a strategy of ours to increase the inventory. As it relates to receivables, that's primarily related to the growth in our sales, which is a function of that, maybe a little timing depending upon how the sales came in during the month. But, you know, everything from working capital is pretty well on plan. You know, from our free cash flow estimate for the year, we're expecting, you know, $1.2 billion, which is very similar to what it was last year. We're, you know, expecting, you know, to have increased operating earnings there. That will probably be offset, you know, by an increase in inventory, but things are going as planned, and we're reacting to the current environment that we're in.
Teri Seck: Thank you all for joining us today. As always, Doug and I are available for callbacks.
Operator: You may now disconnect.